Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.: 
Operator: 00:03 Good morning, ladies and gentlemen, and thank you for standing by. Today's call is being recorded. I'll now turn the call over to Laura Pianalto, Treasury Manager of Liberty Latin America. Laura, please go ahead.
Laura Pianalto: 00:18 Good morning and welcome to Liberty Latin America's Full-Year 2021 Investor Call. At this time, all participants are in a listen-only mode. Today's formal presentation materials can be found under the Investor Relations section of Liberty Latin America's website at www.lla.com. Following today's formal presentation, instructions will be given for a question-and-answer session. As a reminder, this call is being recorded. 00:44 Today's remarks may include forward-looking statements, including the company's expectations with respect to its outlook and future growth prospects, and other information statements that are not historical facts. Actual results may differ materially from those expressed or implied by these statements. For more information, please refer to the risk factors discussed in Liberty Latin America's most recently filed Annual Report on Form 10-K, along with the associated press release. Liberty Latin America disclaims any obligation to update any forward-looking statements or information to reflect any change in its expectations or in the conditions on which any such statement or information is based. 01:25 In addition, on this call, we will refer to certain non-GAAP financial measures, which are reconciled to the most comparable GAAP financial measures, which can be found in the appendices to this presentation, which is accessible under the Investors section of our website. 01:39 I would now like to turn the call over to our CEO, Mr. Balan Nair.
Balan Nair: 01:45 Thank you, Laura. And welcome everybody to Liberty Latin America's full-year results presentation. I'll begin with our group highlights and operating results before closing with an overview of our strategic focus areas in 2022. Chris Noyes, our CFO, will then follow with a review of the company's financial performance and our outlook. After that, we'll get straight to your questions. 02:10 As always, I'm joined by my executive team from across the region and I will get them involved as needed during the Q&A following our prepared remarks. As a point of housekeeping, we will both be working from slides which you can find on our website at www.lla.com. 02:29 Starting on Slide 4 and our highlights for the year. We grew our fixed base by 269,000 RGUs in 2021, led by cable and wireless where we added over 100,000 RGUs, with strong contributions also coming from Puerto Rico, Panama and Costa Rica. In mobile, we had a record performance in both Q4 and the year, adding 493,000 subscribers in 2021 with a growing postpaid mix. Panama and Costa Rica reported the highest addition across both periods. 03:10 High-speed connectivity is at the core of our customer offering and we invested to expand and improve our network during the year, adding or upgrading approximately 750,000 homes passed across our operations, almost exclusively using fiber to the home technology. We plan to continue this activity in 2022 with around 600,000 homes planned. 03:37 Our principal financial guidance for 2021 was to deliver $200 million of adjusted free cash flow and we achieved this target. We also announced an additional $200 million buyback program yesterday, which Chris will provide more details on. Finally, we continued to make progress with our inorganic strategy in 2021, announcing the acquisition of America Movil's Panama Operations and a 50-50 joint venture with America Movil in Chile. We expect to close both transactions this year as well as make further progress integrating businesses previously acquired in Puerto Rico and Costa Rica. 04:21Turning to Slide 5 and our fixed subscriber additions by market over the past three years. Starting with cable and wireless Caribbean & Networks in the upper left of the slide. Here, we have delivered steady improvement over the period, including 10% growth in additions during ‘21. This was driven by Jamaica, where we added close to 100,000 RGUs in the year. 04:46 Moving across on the slide to Liberty Puerto Rico, we continued to deliver strong adds in the year, albeit a lower figure than 2020 where we benefited from demand driven by COVID-19. Our quarterly run rate exiting 2021 is a more normalized level for the business. Further right on the top row, we had our best year in Costa Rica, as Cabletica more than doubled its 2020 additions 45,000 in '21. 05:16 Moving to the lower left at CNW Panama, here we saw a much stronger performance in '21 as the market recovered from the prior year impacts of COVID-19. Our network in Panama is now over 80% HFC or fiber to the home, and we are focused on improving operational execution across core areas of sales, retention and installation to drive further growth. 05:42 Finally, in terms of our markets, VTR had a better year in '21 versus '20. However, the Chilean market continues to be intensely competitive and we reported net subscriber losses in the fourth quarter. Our focus here is to stabilize our subscriber base. Overall for the group, there was a 57% increase in adds for '21 compared to 2020. 06:10 Moving to Slide 6 and our mobile performance. As with our fixed KPIs, we present annual figures from 2019 to '21 and call out postpaid additions separately. Starting in the top left of the slide with CNW, Caribbean & Networks, we recovered strongly in '21 after the impacts of COVID-19 and associated mobility restrictions. Jamaica, the segment's largest market led CNW in mobile growth. What we are excited about is our FMC plans working and drove 40,000 postpaid adds, our strongest performance in recent years. 06:50 Turning to Puerto Rico, where we acquired mobile operations in October '20. While our overall base remain relatively stable during '21, there was a notable shift in mix as we added 39,000 postpaid subscribers. Cross-selling activity should further drive postpaid adds. 07:09 Moving to the right of the slide and Costa Rica. This is now our largest mobile operator in terms of subscribers and another recently acquired business. As the graph shows, the operation delivered significant additions in the 4.5 months under our ownership. Postpaid subscribers represented about 1/3 of the total adds. 07:32 On the bottom left of the slide, we present Panama's mobile subscriber performance. This was the country where our customers experience the more severe mobility restrictions during '20 and we saw a significant rebound in '21 as market conditions improved. Panama delivered the most adds across the Group in the year, including record postpaid adds. In aggregate, we added close to 0.5 million mobile subscribers in the year, including 137,000 postpaid subscribers. As we drive fixed mobile convergence across our markets, we are focused on increasing our postpaid subscription-based revenue. 8:16 Next to Slide 7 and our B2B operations. In the bar chart on the left of the slide, we present our fourth quarter and full-year B2B performance with 15% and 4% rebased growth respectively. B2B is back, following 2020 when economies were challenged, the projects were put on hold. Panama and Jamaica in particular saw activity recovery and this was accentuated in Q4 as projects retired to the marketplace in what is seasonally a strongest quarter for B2B. 08:52 In the center of the slide, we provide an overview of where B2B revenue generated across the group, including our subsea operations. CNW, Caribbean & Networks is our largest contributor, generating close to 2/3 of our $1.4 billion in B2B revenue annually. Panama is then the next largest operation with 18% of the pie and Liberty Puerto Rico is now a much larger B2B business following our acquisition with 16% of Group B2B revenue. 09:26 On the right of the slide, we wanted to provide some more color on Networks & LATAM business. This comprises our subsea operations and TACA B2B operations in Latin America. These businesses on a combined basis represents over $400 million of annual revenue on a gross basis. As our reported figures excludes inter a company capacity sales of over $70 million in 2021. 09:54 In terms of the split shown, most of the revenue is driven by subsea. However, there is also a diverse and fast-growing B2B business here with Colombia representing our largest market. At this time, we are not providing any additional information as it pertains to any plans with the asset. Importantly, as evident on this slide, this business continue to charge higher. We firmly believe this business is under-appreciated with attractive characteristics. It is underpinned by US dollar revenue and has strong cash flow conversion, and an adjusted for OIBDA margin of above 50%, and relatively low CapEx requirements. And we have plenty of capacity given advances in technology. We continue to work on how best to optimize this unique asset. 10:51 Moving to Slide 8 and an overview of our networks. Starting on the left with our fixed footprint by technology. The key takeaway here is that, we have a strong position, 90% of homes were passed with high-speed technology at the end of '21. In the center of the slide, we show our investment activity and how it actually evolved over the past years. We've built consistently even through COVID, adding nearly 2 million homes in the 4-year period. We see our network as core to the company's long-term success and will continue to invest approximately 600,000 new homes built or upgraded expected in '22. 11:34 The other point to highlight here is our increase in FTTH technology, such that it's now used in virtually every case. Finally, on the right side of the slide, we show the significant growth in high-speed mobile service capabilities. We now have LTE coverage virtually everywhere that we operate. We also have 5G services in Puerto Rico and US Virgin Islands where approximately 95% of the population is served by our 5G capable there. 12:08 Turning to Slide 9 and an inorganic strategy, which we believe will drive significant free cash flow growth for the Group. On the left of the slide, we show our completed and pending transactions since 2018. In terms of completed transactions, we have consistently focused on opportunities that solve a product gap and improve existing offerings, generate clear synergies and create scale to strengthen our market position and propositions. Most importantly, we look for opportunities to drive meaningful free cash flow growth. 12:46 Sometimes these are smaller, but very accretive moves, such as the acquisition of Broadband VI in the US Virgin Island which we closed in December last year. This will be the platform for us to build out our fixed connectivity business in the USVI, which we plan to integrate with our mobile operations to create a leading converged operator. For our pending deals, we remain very excited about the prospects for both and expect to complete the Panama acquisition in the first half and our Chile JV in the second half of this year. 13:24 On the right of the slide, we wanted to provide an update on integration activity in Puerto Rico and Costa Rica. These are exciting and accretive deals. Across both transactions, we expect to deliver somewhere in the region of $90 million of synergies once integration activity is completed. This will coincide with the end of our TSA agreements with AT&T and Telefonica towards the backend of 2023. So, we will have full year benefits in 2024 and progressively more through this year and next. 13:59 Our 2022 milestones include testing our new IT stack and establishing our mobile call by the end of the year in Puerto Rico, and consolidating our brand and retail networks as well as designing a new OSS/BSS in Costa Rica. 14:17 Finally, to slide 10, and our strategic focus here is as we look to 2022 and medium-term shareholder value creation. The priorities are split across 3 pillars. First, network and IT. As mentioned, this will include expanding and upgrading of fixed and mobile networks so that we can deliver leading service proposition for our customers. Our transformation will involve some of the integration activity as well as establishing new IT stack to support our business operations. Second, our commercial approach. We aim to drive fixed mobile convergence to bring better value for our customers, while creating more predictability in our cash flow. Product development includes delivering a great in-home WiFi experience set off box solutions, E-SIMthe, 5G, fintech and B2B products. This will improve service and reduce costs. 15:14 Through increased use of digital channels, we will improve our customer journey, reducing friction in buying our products, increase efficiency of our search engine optimization, search engine marketing and social networks marketing. This is increase sales and reduced channel costs for the future. Additionally, we remain focused on using technology and better tooling to reduce this, which is a significant cost for all operators in our industry. Third and final, capital allocation. As I highlighted on the prior slide, we intend to drive inorganic growth through the acquisitions we have already completed, as well as those we are looking to close. Successful integration of the business we acquired from [indiscernible] to both drive synergies and to optimize topline performance. 16:03 So this is a key focus for us in Puerto Rico and Costa Rica in 2020. And we have been active with our share buyback. Announcing yesterday our new $200 million increase to the plan. 16:16 With that, I'll pass you over to Chris Noyes, our Chief Financial Officer, who will talk you through our financial performance before we take your questions. Chris?
Chris Noyes: 16:28 Thanks, Balan. I will start by running through our key metrics, focusing on Q4 performance. For starters, Q4 revenue increased by about $180 million year-over-year to $1.3 billion fueled by our acquisitions in Puerto Rico and Costa Rica. Our rebased growth rate was 6%, which was our second best quarter of the year. This growth was led by double-digit topline performances in Panama and Costa Rica, as well as a 7% rebased result from cable and wireless Caribbean & Networks. On a full-year basis, revenue was up 4% on a rebased basis to $4.8 billion. 17:07 In the upper right, we generated adjusted OIBDA of $470 million in Q4, reflecting rebased growth of 3%, an improvement from flat rebased growth in Q3. Our adjusted OIBDA margin in Q4 of 37% was adversely impacted by lower margin B2B and mobile equipment sales during the quarter, as well as about $10 million of integration expenses. Moving to the full year and consistent with revenue, our rebased growth was 4% on adjusted OIBDA of $1.8 billion. 17:40 Our P&E additions, in the bottom left, were $257 million in Q4 or 20% of revenue. This result brings our 2021 total to $856 million or 18% of revenue, and includes significant new build and upgrade activity, as Balan highlighted, and roughly $25 million of integration-related CapEx during the year. On the bottom right, we reported $51 million of adjusted free cash flow for Q4, bringing our full year to $200 million, a 35% increase over 2020. 18:15 Next to Slide 13. I wanted to make a few points about our quarterly performance and our expected phasing for 2022. Q4 2021 is the first full quarter including our mobile business in Costa Rica, acquired from Telefonica, which contributed $71 million of revenue and $17 million in adjusted OIBDA during the quarter. Q4 also tends to be seasonally strong in revenue with higher mobile activity and equipment sales leading up to the holidays and from significant projects awarded by businesses and governments. 18:49 Looking to 2022, we expect to deliver continued revenue and adjusted OIBDA growth. However, our growth will be significantly weighted to the second half of the year. This is a function of a difficult comparison in Puerto Rico relating to the favorable net roaming we experienced in H1 2021, higher spending on integration for Puerto Rico and Costa Rica, and continued pressure in VTR in revenue and adjusted OIBDA expected for 2022. 19:14 Turning to adjusted free cash flow. Our quarterly phasing in 2021 was relatively constant and there was a positive contribution across all quarters. We expect 2022 to go back to more historical phasing with Q1 and Q3 substantially than Q2 and Q4, due in part to interest payments. Furthermore, we would expect Q1 to be negative and Q4 to be the largest quarter of the year in terms of cash flow. 19:41 Slide 14 highlights our revenue and adjusted OIBDA results by segment for Q4 and the full year. Starting with C&W Caribbean & Networks, we reported $453 million of revenue or 7% rebased growth and $196 million in adjusted OIBDA or 9% rebased growth. This was led by double-digit rebased revenue growth in Jamaica and our networks businesses, as well as high single-digit growth in Bahamas and Barbados. The strong revenue result year-over-year was driven by 10% rebased performance in mobile and 8% rebased growth in B2B, reflecting in part improved conditions across the region. Adjusted OIBDA grew faster than revenue as we realize operational leverage through controlling our cost base. 20:27 Moving to Cable & Wireless Panama, Q4 was particularly robust for our team in Panama. They delivered revenue of $169 million and adjusted OIBDA of $63 million, resulting in rebased growth of 30% and 24%, respectively. B2B revenue, particularly those associated with long-term projects, really came back during the quarter as they have been constrained last year from the impacts of COVID. Additionally, fixed residential services were up 7% year-over-year, building upon our continued subscriber growth throughout 2021 as we added over 60,000 RGUs during the year. 21:01 Turning to Liberty Puerto Rico. We reported revenue of $376 million and adjusted OIBDA of $141 million, representing modest rebased growth of 2% in revenue and 1% in adjusted OIBDA. In terms of revenue, our legacy fixed operations grew double digits year-over-year, while Liberty Mobile declined slightly as subscription revenue growth was offset by lower equipment and B2B revenue. Adjusted OIBDA was impacted by higher cost, principally in the areas of roaming, integration, programming and labor on a year-over-year basis, partly offset by reduced handset cost. 21:37 Next to VTR. We delivered Q4 revenue of $175 million and adjusted OIBDA of $55 million, reflecting rebased declines of 8% and 20%, respectively. As we have seen throughout 2021, the rebased top-line decline is due to a combination of ARPU decline and volume losses, with the market remaining extremely competitive. We expect declines to continue until such time as subscribers and ARPU have more stabilized. Additionally, our adjusted OIBDA has continued to compress faster than revenue, which is a function of several factors; losing higher-margin broadband revenue; increased programming costs; and higher network costs, including truck loss. 22:20 Ending with Costa Rica, we generated revenue of $107 million and rebased revenue growth of 10%. This top-line performance was driven in large part by mobile, including a significant growth in the underlying subscriber base and higher handset sales. We reported adjusted OIBDA of $29 million reflecting modest rebased growth of 1%. Our growth was negatively impacted by about $3 million of integration expense and increased commissions due to customer additions. 22:49 Turning to Slide 15, at year-end including VTR which is held as an asset for sale on our balance sheet, we had $9.2 billion of total debt, $1.1 billion of cash and $1.2 billion of availability under our revolving credit lines. Consistent with Q3, we had gross leverage of 5 times and net leverage of 4.4 times. Since September 30, we have been active across 3 of our credit silos. As we highlighted on our Q3 call, in early October we issued $590 million of C&W term loans due 2029 at a fully swapped rate of 4.4% and repaid $500 million of 7.5% bonds and $55 million of 5.75% bonds. In December we raised an incremental $120 million term loan at LIBOR plus 375 basis points due 2028 and used the proceeds to redeem 10% of our outstanding 6.75% bonds at Liberty Puerto Rico. 23:54 And in the early part of 2022 we complete the syndication of $435 million in 6-year term loans in Cable & Wireless Panama at a fixed rate coupon of 4.25%. It is broken down in two components, a $275 million facility refinancing existing term loans, and a $160 million acquisition facility to fund a large portion of the Claro Panama acquisition. 24:24 Our debt maturity looks good, only about 15% of our debt is due within the next 5 years. Our weighted average life is just under 6 years and our fully swapped borrowing rate is just under 6% as well. Important to flag in this rising rate environment with 95% of our debt fixed. Over the last 3 quarters we have been active under our buyback program. As the chart highlights, we repurchased $10 million in Q2, $20 million in Q3 and $35 million in Q4. To date this year we have continued repurchasing equity and expect to complete the $100 million program in the coming days. Additionally, as seen yesterday in our press release, our Board approved a new $200 million repurchase program. 25:11 Moving to the right part of the slide, we highlight our 2021 financial guidance which we delivered and we lay out our 2022 targets. These targets are based on our current consolidated group of assets, including the just-completed acquisition in the US Virgin Islands [indiscernible] and do not account for the impact of pending transactions. We will adjust as needed for transactions as they close. First, we are targeting TV additions of approximately 18% of revenue, consistent with 2021. Second, we are focused on delivering adjusted free cash flow of approximately $250 million. Our 2022 adjusted FCF will be tempered due to integration costs adversely impacting both adjusted OIBDA and P&E additions, and the inclusion of the [BDGI] (ph) acquisition, which is expected to contribute negative free cash flow in year one if it's fiber build. Important to also note that cash taxes are expected to be significantly higher in 2022. We expect cash taxes to range from 8% to 10% of adjusted OIBDA. 26:14 Moving to the final slide, we are pleased with our consolidated 2021 results. We delivered our key financial and operational targets and what was a challenging year for a region that is still suffering from the impacts of COVID and lagging behind the recoveries. We have seen across North America and Europe. Our focus on growing the business is evident. Robust, fixed and mobile subs growth combined with improving B2B helped us achieve mid-single-digit rebased revenue and adjusted OIBDA growth and a 35% increase in adjusted free cash flow. 26:47 Importantly we maintained discipline around our CapEx envelope, simultaneously supporting success-based spend, investing in our network, both in terms of fiber to the home expansion and upgrading residual copper plan and advancing our integration efforts in Puerto Rico and Costa Rica. As Balan touched upon, efficient capital allocation is key for us as we look to drive value in two key ways. First, we have been strategic with our M&A activity. Our completed and/or announced transactions over the last two years in Puerto Rico, Costa Rica Panama, Chile, Curacao, and the US Virgin Islands have several similarities, attractive valuations, in market consolidations, complementary to existing products and highly synergistic. 27:32 Second, as we have gained confidence in our recovery from COVID as our free cash flow generation and the outlook has improved and the market has provided us with an attractive opportunity to capitalize on a low share price, we have steadily ramped up our buyback activity through 2021 as I highlighted in the previous slide, that has continued into 2022. 27:54 In closing, we are excited about our 2022 prospects. It will be a year of operational execution across our integrations and initiatives that Balan highlighted and to close both our Panamanian and Chilean transactions. We are focused on driving free cash flow growth this year, even with the headwind of significant integration spend. And with all the work we continue to do, we believe will position us for improved growth and free cash flow performance in 2023 and beyond. 28:23 With that, operator, if you can open up for questions.
Operator: 28:28 Of course. The question-and-answer will be conducted electronically [Operator Instructions] Our first question comes from the line of Michael Rollins from Citi. Michael, please go ahead.
Michael Rollins: 29:20 Thanks, and good morning. A couple of questions if I could. First question, just on the numbers, can you break out the impact of the government contract in Panama and into the overall results for revenue and OIBDA? And how should we think about the contribution from that overtime? 29:41 And then just separately, curious if there's an update on the exploration of what to do with the subsea business, as well as any other components in the portfolio? Thanks.
Balan Nair: 29:58 Thanks, Michael. In Panama, on the government contracts and I'll ask my colleague, Guillermo to jump in here in a bit as well. These are actually extremely good revenues. There is a component of nonrecurring upfront and then a monthly recurring going forward. We don't break down the components of our B2B specific contracts and the value of the contract, but I'll tell you these are great contracts by the government of Panama, which post-COVID they're coming up with a lot more contracts and we are just gunning for all of them. And -- but we feel really good about the nonrecurring part, which we capture upfront and then the monthly recurring that happens up in the future. 30:42 Guillermo, do you want to jump in really quick before -- and then I'll answer the subsea question.
Guillermo Ponce: 30:49 Yeah. Thank you, Balan. We are very happy about the performance of our B2B team in Panama. We have a strong team there, which have been -- we have been building for a long time. The relationship we have with -- not only with the government, but with other large corporations in Panama is really strong. And this is what is represented in the numbers and in the figures you saw on the fourth quarter. 31:14 Fourth-quarter is usually a strong quarter for us as many entities accelerate some of the project execution over the first quarter and we have become the preferred partner to be -- implement those projects in Panama. Performance has been really good, as I said. As pointed out by Balan, many of these projects had a nonrecurring component upfront, explained by equipment and the installation of equipment, but then another important component that is recurring revenue that we will enjoy over the next years actually in this kind of large project.
Balan Nair: 31:57 Thanks, Guillermo. On your second question on subsea, we are really happy with that asset. We really like the business, as I've indicated earlier on, extremely high-margin business, both on an EBITDA basis, on an operating free cash flow basis. And we surely believe that the SOTP and this is not fully reflected here. 32:19 Now as to your specific question on the strategic options that we've been looking at, we're not going to comment on that today, but we really like the business. Maybe in the next quarter or two quarters from now we'll probably shed some more light on it.
Michael Rollins: 32:38 Thank you.
Operator: 32:43 Our next question comes from the line of Diego Aragao from Goldman Sachs. Diego, please go ahead.
Diego Aragao: 32:52 Yes. Thank you. Good morning, Balan and Chris. Thanks for taking my question. I guess the first one is for Chris. Your guidance for adjusted free cash flow in 2022 implied a 25% growth when compared to full-year 2021. So can you just help us reach the growth you were assuming [indiscernible] by region and also by business segment? That's the first question. Thank you.
Chris Noyes: 33:22 Yeah. I mean I'll talk holistically about the free cash flow and some of the information we provided. First, obviously, we're focused on continuation of adjusted OIBDA growth, so that plays through. We gave guidance very similar -- the CapEx as a percentage of revenue, the 18%, similar to what it was in '21. We did give some color around our cash tax number. So a fairly significant increase during the course of '22 as compared to '21. As a business, we are focused on working capital and working capital efficiency and we continue to kind of focus on that to drive improvement on a year-over-year. So when you put the math components together, it translates into, call it, a $50 million increase on a year-over-year basis.
Diego Aragao: 34:24 Thanks, Chris. That's helpful. And just my second question is related to Chile. I just would like to get your views on the recent developments in the country, particularly the growing number of pure site players going to that country. And also if you can just comment quickly on the timeline to get the required approvals for the JV [indiscernible] that would be great.
Balan Nair: 34:51 Sure. Thanks Diego. On the approval process, I’m here with my General Counsel John Winter as well. He has been working on that. We feel good that it's a second half of the year closing on this and I'll ask John to maybe jump in here in a second, but that's what we've publicly stated and we feel that’s still good. Clearly it's a highly competitive market as you pointed out, that's a lot of PE money coming. There is currently right now 7 fixed operators in Chile, of which we have one. 35:25 So we think consolidation that just makes absolute sense, there is some of our competitors have publicly stated that they want money to either exit the market or putting up their asset for sale. So I suspect after our announcement, there'll be more consolidation in the market and that's necessary there, but our joint venture with collateral America Movil I think will shake up the market, will bring a lot of investment into the country and you can clearly see from our JV we are bullish in Chile. We think it's going to come back, we think it's a strong market in the long term, and that's why we are continuing to be -- to have a presence there and to do this joint venture with Claro who is – who have a great mobile network, they have got a great six network and that combination I think will put up a good response to some of our competitors there. 36:21 John, you want to make maybe a comment on the closing.
John Winter: 36:24 Yeah. Sure Balan. Yes, as Balan said, we're still optimistic and confident about being able to close in the second half of the year. It was publicly stated by the F&E in Chile that they moved us to Phase II of the process, which we were expecting and it's pretty customary in Chile for transactions of this type. And we're working with our partner to respond to the F&E and we remain confident we'll be able to get that approved in the timeframe we outlined in September.
Diego Aragao: 37:04 Thanks, John.
John Winter: 37:05 Thanks, Diego.
Operator: 37:11 [Operator Instructions] Our next question comes from the line of Kevin Roe from Roe Equity Research. Kevin, please go ahead.
Kevin Roe: 37:26 Thank you. Good morning. Balan I have sort of two high level questions. First on inflation. How in general are you addressing inflation with equipment cost, fiber, labor, energy? Are you leaning more into price increases to keep up with inflationary pressures? And secondly, on Chile. Balan if you could give us a sort of a real-time update on the new government? I often get questions on it in terms of regulatory trends or regulatory outlook. Any changes there or even a commentary on potential tax risk? Thank you.
Balan Nair: 38:07 Sure. Hey, Kevin. Thanks. First one on inflation. Inflation, of course, is all over the map, everywhere. And if you look at our region specifically because of commodity prices, et cetera. We are seeing real inflationary effects in Chile, of course, certainly some of the island. It's going to be tempered in some of the locations where unemployment is still high because of lack of tourism. We see those headwinds in the Caribbean Islands right now. And we expect that to improve and when that does improve, inflation probably will start coming down as well. Based on strategy on that, we are not taking price increases. We are going to tackle inflation through cost-cutting. And the reason we do that is; one, this management team is focused and trained on driving value without taking price increases. This is a volume-driven growth business and it's a good practice for my management team as well, especially at all levels to run this business with discipline and not count on price increases to solve for some of the gaps in our cost structure. 39:16 And I think that's going to serve us really well in the long term. And it doesn't open up or at least it opens up a bigger gap between us and our competitors, we take price increases and I really like that strategy. On Chile specifically, the government, of course, it's a new government in place, we've been very pleased with the cabinet that he has formed. And it's a very moderate cabinet with a lot of technocratic in it and some we know very well as well. 39:47 And then to your question on taxes, that's a lot of noise out there, we will see how it plays out, but it's going to take a while for any changes to come about. Like I said in my earlier -- the previous question from Diego, we are bullish on Chile and certainly in the long-term prospects of Chile.
Kevin Roe: 40:09 Super. Thank you, Balan.
Operator: 40:18 [Operator Instructions] Our final question comes from Soomit Datta from New Street Research. Soomit, please proceed.
Soomit Datta: 40:36 Hi, guys. Apologies, I joined the call late, so I'm going to ask a couple of questions, and hopefully that been asked if they have, again apologies, if you can maybe take them offline. Just on -- first of all on the buyback, I was just wondering how you're thinking about the pacing of that, is that going to be sort of you guys in the market, sort of all the time kind of regularly just sort of being part of the flow or are you going to be a little bit more selective about. How do we think about that maybe pacing over the next couple of years? I think you're going through to December 24. So a bit of a steer on that would be super interesting? That’s the first question. 41:19 Secondly, again, I don't know if this is has been sort of covered too much, but just on the subsea kind of strategic review. My understanding was that you were going to kind of -- would have been a year long – a year long process now, and we were under the market was going to what the conclusions of that or do we not have any conclusion from that process. That would be the second question. 41:46 And then just on Chile, please. I know we're waiting for the deal to close. And I also would like it's absolutely on track. Obviously the business is slipping a little bit in terms of broadband that before that point. And is there much you can do about that or is it a case of kind of waiting to close that deal and then obviously be in that kind of creates a position of strength to compete? Thanks very much. A - Balan Nair 42:15 Yeah. On the buyback, I'll start with it and I'll ask Chris to jump in here. On the buybacks, we are going to be opportunistic. You saw our numbers from the last 3, 4 quarters and certainly in 2020. Recently I think our stock is undervalued right now, and it's a great IRR for us to buy back. And we are quite pleased to extend the buyback program for -- at an increased level at $200 million as well, and this gives us a lot of flexibility. 42:46 I'm going to jump through the questions and I'll ask Chris to come back to the buyback to give more color there. On the subsea, yes, the question was asked, Soomit. And the answer is, we're still not complete in our reviews and we'll give more color in the next quarter or two. But we love the asset. And as I've stated before, the SOTP, there are some other parts on that has not been fully reflected, but stay tuned for another quarter or two. Sorry, that's taking a long time, but this is a business that we love and we're looking at it from all angles. 43:26 On the Chile part, our strategy is -- if you saw 2020, we took a big hit on net adds. We stabilized it in 2021. In 2022, our focus leading up to the JV is to grow the net adds as well. Now in a 7-player market, it's -- you've got very few levers to play with, but one of the levers is really pricing. And you'll see that our ARPU has declined there and we're not ashamed by that. We are going to take this fight to our competitors. And my good friend, Vivek, who runs our Chile operations, he is recently been looking at it and I think we're going to get even more creative on the value front for our customers that's going to shake the market up as well. 44:16 So I feel really good about Chile and we'll -- we are going to come into the JV with strong net adds on our side, and I think as well on the Claro side. And remember that, one of the key reasons we're doing this is the fact that we can launch a converged product and also funded by a significant amount of synergies from both sides that can fund a very nice build-out in that country. So, we feel good about that. 44:48 And I'm going to pass it on to Chris if he wants to provide more color on the buyback.
Chris Noyes: 44:52 Yeah, sure. Hi, Soomit. Just a couple of points. One, we have -- we will have purchased about $90 million of stock in less than 12 months. So, as you can see that from our pacing. Obviously, as Balan pointed out, we're opportunistic. So we tend to buy more as the stock price is lower. So you can see that based on our behavior over the last 3.5 quarters. And going forward, we'll just tend to balance the share price, the other opportunities for our free cash flow, M&A, our investments within the business. And we're focused on efficient capital allocation in terms of driving longer-term shareholder value and that will dictate the pacing. We could slow it down, we could speed it up, but net-net, we'll be opportunistic as we look out over the coming quarters.
Soomit Datta: 45:47 Okay, great. Thank you
Operator: 45:53 That will conclude today's question-and-answer session. I'd like to hand back to Balan Nair for any additional or closing remarks.
Balan Nair: 46:04 Thank you, operator. Well, firstly, as usual, I want to thank all of you for your support of our business. It's not been an easy last couple of years, but we remain quite optimistic about the future. I think in 2021 we put up some pretty good numbers, even notwithstanding some of the headwinds in Chile. And if you look at 2022, we see the momentum coming into the year. 46:28 Now clearly, we've already -- we are 2 months into the year and we've seen some really good stuff, some challenging parts of our business, but that's normal in a company like ours. And -- but we remain quite optimistic about the future. And let me end by saying once again, thank you so much for your support.
Operator: 46:52 Ladies and gentlemen, this concludes Liberty Latin America's Full Year 2021 Investor Call. As a reminder, a replay of the call will be available in the Investor Relations section of Liberty Latin America's website at www.lla.com. There, you can also find a copy of today's presentation materials.